Will McDowell: Good morning, everyone, and thank you for joining today's call. I am Will McDowell, Vice President of Investor Relations. We are pleased to have you join us for a discussion of Tenet Healthcare Corporation's first quarter 2025 results, as well as a discussion of our financial outlook. Tenet senior management participating in today's call will be Dr. Saumya Sutaria, Chairman and Chief Executive Officer, and Sun Park, Executive Vice President and Chief Financial Officer. Our webcast this morning includes a slide presentation which has been posted to the Investor Relations section of our website, tenethealth.com. Listeners to this call are advised that certain statements made during our discussion today are forward-looking and represent management's expectations based on currently available information. Actual results and plans could differ materially. Tenet is under no obligation to update any forward-looking statements based on subsequent information. Investors should take note of the cautionary statement slide included in today's presentation as well as the risk factors discussed in our most recently filed Form 10-K and other filings with the Securities and Exchange Commission. And with that, I'll turn the call over to Saumya Sutaria.
Saumya Sutaria: Thank you, Will, and good morning, everyone. We reported first quarter 2025 net operating revenues of $5.2 billion and consolidated adjusted EBITDA of $1.163 billion, which represents growth of 14% over 2024. Adjusted EBITDA margin of 22.3% in the first quarter of 2025, a 320 basis point improvement over the prior year, demonstrates our strong growth and continued operating discipline. USPI had a nice start to the year as we generated $56 million in adjusted EBITDA, which represents 16% growth over the first quarter of 2024. Same facility revenues grew 6.8% in the first quarter and were highlighted by a 12% growth in total joint replacements in the ASCs over the prior year. Turning to our hospital segment, adjusted EBITDA grew 12% to $707 million in the first quarter of 2025. Same store hospital admissions were up 4.4% as we continue to open up capacity to respond to the strong utilization environment. Acuity and payer mix remain strong with first quarter 2025 revenue per adjusted admission up 2.8% over the prior year. In all, our first quarter results were above our expectations driven by fundamental continued strength in the same store revenue growth due to customer demand, high acuity, and effective cost management. Regarding our 2025 full year guidance, we are not addressing the underlying outperformance in our business units during the first quarter. We are early in the year and while we are very pleased with both our fundamental outperformance and the continued demand for our services and momentum, we carry into the balance of the year we'll address our full year expectations in the future. Turning to capital deployment. We are well positioned to create value for shareholders through effective capital deployment of the cash flows that our portfolio of business generates. We've demonstrated an ability to flex our operations during challenging times and our transformed portfolio is better positioned to handle economic stresses. We continue to see significant opportunity for M&A in the ambulatory space and intend to invest a baseline of approximately $250 million towards this opportunity each year. During the quarter, we added six new centers, including a strategic partnership with ChoiceCare Surgery Center in Midland, Texas. ChoiceCare is a 16,000 square foot state-of-the-art, multi-specialty surgery center with a focus on orthopedic surgery and urology among other service lines. Our cash flows have enabled us to make incremental investments in capital expenditures to fuel organic growth such as our expanded L&D department at Abrazo West Campus in Arizona. Our top-tier medical professionals and latest medical technology reflect our commitment to delivering exceptional care to women and their families in one of the fastest-growing communities in the United States. We have significantly deleveraged our balance sheet with a net debt to EBITDA minus NCI ratio of 3.1 as of March 31, 2025, competitive with our leading peers. We remain committed to a deleveraged balance sheet as it provides us the flexibility to actively deploy capital to create value. We believe that our current valuation is disjointed relative to our growth prospects, strong operating capabilities, and transformed portfolio of businesses. We see this as an opportunity that we can capitalize on via share repurchase. We repurchased 2.6 million shares in the first quarter of 2025 for $348 million and going forward, we plan to be active repurchasers of our shares, particularly at our current valuation multiple leveraging the significant cash flow generation of our business. In summary, we've had a strong start to the year based on fundamental growth and cost management. We are executing effectively on our growth strategy with an intense focus on serving our patients and delivering value with our physician partners. Importantly, we are not altering our business strategy because of healthcare policy uncertainty that the industry is currently facing. We will steadily execute on our growth strategies with consistent capital investments and continued demonstration of our strong operating capabilities. We see significant opportunity for growth which we believe translates into attractive free cash flow generation that we can deploy across our discussed priorities to generate value for shareholders. And with that, Sun will provide a more detailed review of our financial results.
Sun Park: Thank you, Saumya, and good morning, everyone. We are pleased to report another strong quarter to start off our fiscal 2025. We generated total net operating revenues of $5.2 billion and consolidated adjusted EBITDA of $1.163 billion, a 14% increase over the first quarter of 2024. Our first quarter adjusted EBITDA margin was 22.3%, a 320 basis point improvement over last year. Adjusted EBITDA was well above the high end of our guidance range, driven by strong fundamentals including same store revenue growth, continued high patient acuity, favorable payer mix, and effective cost controls. I would now like to highlight some key items for each of our segments. Beginning with USPI, which again delivered strong operating results. In the first quarter, USPI's adjusted EBITDA grew 16% over last year with adjusted EBITDA margin at 38%. USPI delivered a 6.8% increase in same facility system-wide revenues with net revenue per case up 9.1% and case volumes down 2.1% reflecting our continued disciplined shift toward higher acuity services. Turning to our hospital segment, quarter 2025 adjusted EBITDA was $707 million with margins up 310 basis points over last year at 17.5%. Excluding the hospitals divested in 2024, we adjusted EBITDA grew 23% over the first quarter of 2024. Same hospital inpatient admissions increased 4.4% and revenue per adjusted admissions grew 2.8%. Our consolidated salary, wages, and benefits in the first quarter was 40.6% of our net revenues, a 260 basis point improvement from the prior year. And our consolidated contract labor expense was 2%, up from 2% in the prior year. Our consolidated contract labor expense was 2%, SWND. In the first quarter of 2025, we recognized a $40 million favorable pre-tax impact for additional Medicaid supplemental revenues related to prior years. As a reminder, first quarter 2024 results included a $44 million favorable pre-tax impact for additional Medicaid revenues related to the prior year. Next, we will discuss our cash flow balance sheet and capital structure. We generated $642 million of free cash flow in the first quarter, and as of March 31, 2025, had $3 billion of cash on hand with no borrowings outstanding under our $1.5 billion line of credit facility. Additionally, we have no significant debt maturities until 2027. And finally, we repurchased 2.6 million shares of our stock for $348 million in the first quarter. Our leverage ratio as of quarter-end was 2.46 times EBITDA or 3.14 times EBITDA less NCI. Driven by our outstanding operational performance, and continued focus on financial discipline. We are very pleased with our ongoing cash flow generation capabilities and have a commitment to a deleveraged balance sheet. We believe we have significant financial flexibility to support our capital allocation priorities and drive shareholder value. Let me now turn to our outlook for 2025. As Saumya noted, we are not making any adjustments to our full year 2025 outlook at this time. While we had strong fundamental outperformance in the first quarter, and have continued confidence in our ability to achieve our full year targets, it is early in the year, and we will revisit our full year guidance as needed in subsequent quarters. As such, we are reaffirming the full year 2025 guidance that we initially provided in February. A few items of note, our outlook continues to assume $35 million of net revenues associated with the Tennessee supplemental Medicaid programs, which have not yet been fully approved. As such, we did not record any revenues associated with these programs in the first quarter of 2025. We expect second quarter consolidated adjusted EBITDA to be in the range of 24% to 25% of our full year consolidated adjusted EBITDA at the midpoint. We expect USPI's EBITDA in the second quarter to be in the range of 24.25% to 25.25% of our full year USPI adjusted EBITDA at the midpoint. Turning to our cash flows for 2025, we continue to expect free cash flows in the range of $1.8 to $2.05 billion, distributions to NCI in the range of $750 million to $800 million, resulting in free cash flow after NCI in the range of $1.05 billion to $1.25 billion, all consistent with our initial 2025 guidance. And finally, as a reminder, our capital deployment priorities have not changed. First, we will continue to prioritize capital investments to grow USPI, M&A. Second, we expect to continue to invest in key hospital growth opportunities including our focus on higher acuity service offerings. Third, we will evaluate opportunities to retire and/or refinance debt. And finally, we'll have a balanced approach to share repurchases depending on market conditions and other investment opportunities. Given our attractive free cash flow profile and current valuations, we plan to continue to be active repurchasers of our stock in 2025. We are pleased with our strong start to the year and are confident in our ability to deliver on our outlook for 2025 as we continue to provide high-quality care for those in the communities we serve. And with that, ready to begin the Q&A. Operator?
Operator: Thank you. At this time, we will be conducting a question and answer session. As a reminder, Tenet respectfully asks that analysts limit themselves to one question each. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. Before pressing the star keys. One moment please while we poll for questions. Our first question comes from Stephen Baxter with Wells Fargo. Please proceed with your question.
Stephen Baxter: Hey, good morning. Just a couple of quick ones here. I just wanted to ask specifically understand the posture you are adopting on guidance. But I guess as we think about the first quarter itself, is there anything that you would kind of call out maybe besides the $40 million of incremental Medicaid supplementals that you would frame potentially as an added period item that we should think about bridging from Q1 to Q2? And then just on USPI, you know, revenue per case growth, you know, the highest we have seen for quite some time in a normal operating environment. Despite the total joint case growth being a little bit lower than it was this time last year. Anything you kind of call out there as the driver of sort of the higher acuity, higher revenue intensity and potentially backfilling, you know, the total joint growth. Thank you.
Saumya Sutaria: Yeah. Hey, Stephen. Saumya here. Thanks for the questions. Number one, on the first point, no, there's nothing else I mean, we are just not addressing guidance this early in the year. We recognize fundamental outperformance. So there are no other items there. On the USPI side from a revenue per case growth standpoint, I would say three factors, you know, obviously, our contracting platform, acuity, and, you know, we continue to take strategic opportunities in particular accelerating some of what we have been working on for the last year or two on low acuity work. And, you know, I mean, look, the growth rates on joints and things like that I mean, as the platform gets bigger and bigger, obviously, on a percentage basis, the growth rates will come down a bit. But, you know, we are pleased with the joint, you know, the growth, the continued ongoing march forward in moving the joints into the outpatient setting. As we have said, we think that's a big opportunity.
Operator: Our next question comes from Greg Hinenbach with Morgan Stanley Investment. Please proceed with your question.
Greg Hinenbach: Thank you. For USPI, can you just talk about the pipeline of potential acquisitions and just your confidence of being able to deploy the $250 million in investment?
Saumya Sutaria: Yeah. The pipeline looks good. I mean, you know, $250 million is always kind of a goal range that we put. Obviously, we have been well, we have certainly been spending on average a lot more than that, almost double that because of some of the platforms over the past five, six years. But, yeah, that's still our goal and the pipeline looks healthy. The number of de novos look healthy. In terms of syndicated centers that will stand up from the ground up, the corollary question that often comes is multiples are not really changing very much. From where they have been. You know, obviously, our focus is a little bit more on some centers that have the potential for USPI to deploy its service line diversification capabilities and add things like ortho and whatnot that may not be necessarily part of those centers. But yeah, we feel we feel pretty good. I mean, the USPI environment looks great. Right? And, you know, again, I'm sure it will come up, but you I'll remind you that you know, we do not have as much exposure in that environment to certainly Medicaid and while the exchanges are certainly relevant there, they are less relevant than the hospital segment.
Operator: Got it. Appreciate the color.
Operator: Our next question comes from Joanna Gajuk with Bank of America. Please proceed with your question.
Joanna Gajuk: Hi. Good morning. Thanks so much for taking the question. So maybe I guess, I want to follow-up actually the first question around just the strength in the quarter. I understand that you want to be conservative and you do not want to update all the elements early in the year, but just walk us through because the hospital segment where in particular, those margins were much better, and you are going to need to exclude the $40 million call out of period. So is there something else in that segment that came in much better than internal expectations? Thank you.
Saumya Sutaria: Hey. It's Saumya again, and Sun can comment. Just so that we are both consistent on this. I do not see I mean, it we had a good quarter. I mean, we had a bunch of things in motion from last year. Regarding expense management. You know, you can maybe you can review some of those statistics. Obviously, as we started to think about various policy changes and other things that could be out there or could be part of the discussion, we were thinking about expense management, very carefully coming into 2025, the growth environment's been good. We have been able to accommodate volume without adding a lot of contract labor. Where we have been expanding capacity. Our recruiting of staff and nursing has been good. Our retention rates have improved. Yeah. I do not I mean, I know it it it I understand the question, you know, is there something else in there, but there's not. It's just it's just we we put together you know, three or four good things together in the same quarter, and it ended up generating better results than we might have expected. Sun?
Sun Park: Yeah. I'll just add. Look, the $40 million of out of period you mentioned, you know, obviously, that's balanced with about the same amount, $44 million of out of period adjustments we had in Q1 of last year. So that's, you know, kind of even. And then as Saumya said, I think it really was operational strength. You know, our acuity our payer mix, remained strong. You know, our net revenue per adjusted emissions 2.8% compares very favorably to our, OPEX per adjusted emissions of about 50 bps, I believe. It was. And then, you know, as Saumya said, we are very focused on operating discipline, especially labor. You know, we had a basis point improvement in SWB in the hospital segment. Between Q1 of last year and Q1 of this year. That reflects not only the contract labor discipline, but just a stable wage environment overall as well as other, operating, this one from our, field force. And then I would say, finally, you know, we were very focused on our other lines as well. If you look at our supplies, if you look at our other OpEx line items, we demonstrated some incremental improvement there as well. Not just quarter versus Q1 of last year, but if you look at our 2024 results, you know, we have been working hard at this, you know, quarter by quarter making some incremental improvements. So I think all those things have contributed to a very strong Q1.
Joanna Gajuk: Great. Thank you.
Operator: Our next question comes from Ryan Langston with TD Cowen. Please proceed with your question.
Ryan Langston: Great. Thanks. Good morning. You mentioned a couple times obviously the first quarter we saw really tight labor management. I guess, how much more room do you think you can actually improve that labor, you know, performance? And then maybe just give us a sense on what types of initiatives you guys have put in place and or are working on to kind of keep up that level of performance?
Saumya Sutaria: Well, if if I improve we are referring specifically to the narrow narrow issue of the percentage of contract labor, I'm not sure that necessarily decreasing that further is an improvement. Right? Because obviously, there are times where you would utilize contract labor in in order to open up capacity for things that you may be doing which are accretive. So you know, I think what we have said all along was that our strategy was to reduce contract labor, have our full-time employees that provide good care leverage all the nursing school and other relationships, text, and other things that we built during COVID in order to help train graduates that then might choose to stay within our system and positively impact our retention rates because there's a degree of familiarity there. And, of course, the net consequence of all that is that we can return to following our overall SWB inflation rather than just being focused on the narrow topic of contract labor, expenses. So that that's kind of the journey that we have been on as you can as you can imagine and appreciate from our comments over the past couple of years. So I think, look, I mean, the, you know, the the importance the next year or two is is really on recruiting and retention. Of of the staff necessary to build and grow the business. I think the contract labor is fine where it is.
Ryan Langston: Okay. Thank you.
Operator: Our next question comes from Brian Tanquilut with Jefferies. Please proceed with your question.
Megan Holton: Good morning, guys. This is Megan Holton for Brian. And congrats on the quarter. I guess just piggying off Joanna's question on the hospital business. Can you provide some color in the acuity, the payer mix, what drove that revenue per adjusted admission? Of your peers have spoken to exchange volume growth. Are you seeing the same growth? And can you quantify that growth?
Saumya Sutaria: Yeah. Hey, Megan. Thanks for the question.
Sun Park: Yeah. I think couple of pieces. So I'll I'll repeat our statement that we saw continued acuity strength as well as, strong peer mix. You know, I I think if you, look at our stats, in terms of total managed care as percent of our net patient revenues, it it remains around 70%, very consistent with kinda what we had last year. And then our acuity strategy is again very consistent with last year. Agreed that was a continued strength for us. In Q1 of 2025. We saw a 35% increase in exchange admissions. And at this point, our revenues from from exchange is about 7% of total consolidated revenues. So a little higher, I think, than fiscal 2024 where we ended fiscal 2024. And we'll see for the rest of the year, you know, we we think, you know, the environment continues to be strong across our different payer areas. And, you know, we'll we'll update our guidance as we go.
Operator: Thank you. Our next question comes from Justin Lake with Wolfe Research. Please proceed with your question.
Justin Lake: Thanks. Good morning. Just wanted to follow-up on the SWB discussion. It's certainly kind of jumped off the page on the hospital side. Is, you know, beyond the contract labor, is there anything else special going on in the quarter? And if not, you know, is this a reasonable kind of run rate to be thinking about, you know, whether it's SWB per adjusted admission or the ratio it's you know, And, you know, just to to follow-up on that, like, if it if it is, you know, what would have to go wrong for you not to, you know, materially outperform? I mean, it certainly seems like I guess, the question would be, if you're is this what you would is this ratio what you embedded in your hospital EBITDA guidance or is it running materially better? Thanks.
Saumya Sutaria: Hey, Justin. I mean, a couple things. I mean, we are not really updating guidance. Right? I mean, there's a few things. Obviously, the more we diversify the business into the ambulatory side, that helps in terms of the the USPI or the USPI component. And in particular, the impact on salary, wages, and benefits. So I you know, look. I I think without some discontinuity in the environment, we feel pretty good about the various aspects of labor management that that we are undertaking in this environment and at the same time, again, I I cannot emphasize enough from my perspective the importance of having our own workforce that knows our physicians and knows our environment and and doing better and better on retention of that staff is a really important part of our strategic goal to expand capacity in in a high-quality way, and that's that's kind of the balance that we are looking for right now.
Operator: Our next question comes from Pito Chickering with Deutsche Bank. Please proceed with your question.
Pito Chickering: Hey, guys. Great job this quarter. I guess you know, you're gonna see a trend here. I'm gonna hit the S and P leverage maybe a slightly different way here, your average like the stay was down for 2.3 days percent on a same store basis. You know, is that due to flu, or is that just better productivity? And as you think about where I was looking at the stake in trend, where do you think we can exit the year? Or is this leverage due to uncompensated care, which looks to be down this quarter despite revenues going up. It looks like this is due to implicit price concessions and security write-offs down. So any thoughts around uncompleted care reductions down this year and how that impacts your margins? Thanks.
Saumya Sutaria: Well, let's go in reverse order. The uncompensated care piece is not the same store. Right? I mean, remember, we divested a bunch of assets in in many cases that were in markets with less favorable payer mix. So I do not think you can I do not think you can look at that decline necessarily on a same store on a same store type of basis? If that helps. Yeah. And then you wanna take the other
Sun Park: Yeah. So on on some of your other questions look. I mean I mean, on on the length of stay, I I yeah. There probably was some flu impact, but I think overall, again, it comes back down to you operating discipline and and trying to make sure we balance the right patient care as well as our workflows and efficiency. Right? So we are working hard on that. And then, you know, I think you're your general question around kind of sustainable know, sustainment of kind of the pieces. Look, I think it all comes back into two things that we mentioned. It's a stable external environment in terms of wages and fees. We've and then we focused a lot on our operating discipline, which was just showing up in our metrics. One final kind of footnote to Saumya's answer on the uncompensated care number. I think you're absolutely I think Saumya's right. It's it's not same store, so I think that distorts the comparison. And then I think, obviously, if you look at the individual line items, while some are going up and some are going down versus 2024, you kinda have to take that all together And if you look at the total uncompensated care percentage as revenues, we've been pretty consistent 2024 to 2025. So I do not think that's driving the margins.
Operator: Our next question comes from Ben Hendrix with RBC Capital Markets. Please proceed with your question.
Ben Hendrix: Great. Thank you very much. Just a quick question back to ambulatory rate growth that's strong 9.1% growth. I appreciate the commentary about the continued mix shift in M&A towards higher acuity specialties. But we just I had noticed that one of your ASC peers has started to see less couple quarters a more balanced mix of rates and and and volume growth overall. In the ambulatory. Just wondering just based on your M&A plans and based on the shift you're seeing towards higher acuity, how persistent you think this rate momentum is over the next couple of years? Thanks.
Saumya Sutaria: Well, I mean, projecting projecting out over the next couple of years on ASC rates is a little bit tough. I mean, I think that if you think about what we have been doing and and it's a fair criticism, by the way, if if that's what it is that you know, our rate guidance has been under what we have been actually achieving for for a couple of years. That's that's fair. You know, our guidance obviously is much more long term. In terms of the revenue growth combination of volume and rate our near term impact is driven a lot by what we have been doing around not only growing higher acuity, but it's same time working actively to create capacity to resindicate some of our partnerships and other things with certain low acuity business moving out of the ASC environment. And, you know, it took us a while to get that balance right. But I think we've got that balance a lot better. And then when you add on top of that, the fact that, you know, most of what we're doing in the ASC costs 30 to 50% less than the same acute care setting, our contracting strategies have been helpful because you know, there is a desire by all stakeholders to move things into a lower cost setting including you know, providing fair rates in the ASC environment, which we've been able to achieve. So, you know, when you put all that together, I do not disagree with the premise at all that we should see momentum on the net revenue per case in the ASC environment for some time to come. And that's a that, you know, that's a good thing. That's and the ASC should be the leading edge of innovation of getting you you know, appropriate higher acuity care into a lower cost setting.
Operator: Our next question comes from Whit Mayo with Larink Partners. Please proceed with your question.
Whit Mayo: Hey, thanks. So when you talked about opening up capacity on the acute care side, just any numbers around this to frame maybe what the year over year increase was from those initiatives Well, I think the numbers
Saumya Sutaria: what I was referring to is specifically the the same store hospital growth numbers included capacity expansion as one of the reasons that they were so robust I mean, we haven't quantified how if you're asking how many beds or something like that, we haven't quantified that.
Whit Mayo: Maybe just another question just around USPI and the commentary around physician additions, recruiting efforts. She talked about re syndication efforts as well. Just wondering if there's anything to share about what those numbers mean in terms of a year over year increase versus maybe history
Saumya Sutaria: I would say that the physician activity is is on a numbers basis, gross numbers basis, very similar to in the past. I mean, the ASC environment is an environment where you have to be constantly engaged in renewing, refreshing, and re syndicating partnerships. What I was referring to before on the re syndication piece directly tied to the commentary about net revenue per case is that sometimes that's a specialty shift. Right? I mean, in in many ASCs, you're renewing, refreshing, etcetera. The same specialties. But if you're making service line shifts and transitions, towards higher acuity, you may be re syndicating with different specialists than were in the ASCs before, and that's what I was referring to. And that obviously takes a lot more work to get done. You have to identify new individuals, perhaps new practices, that join an existing ASC versus simply working with your existing practices to add doctors when they may have retirements or departures or whatever the case may be. So it's, you know, it it the service line transition work that we've undertaken in the last few years it's a lot of work and it's and again, as as you know, we we it took us a while to get admittedly the balance right in how we've how we've been doing it. We feel much better about it now. It's been much more consistent for the last couple of years. And it's driving earnings growth above our expectations and above USPI's long term trends, which is which is terrific because it's a momentum driver for that business.
Whit Mayo: Yeah. Thanks.
Operator: As a reminder, we ask that you please limit yourself to one question. Our next question comes from Ann Hynes with Mizuho. Please proceed with your question.
Ann Hynes: Hi. Good morning. Thank you. Again, I want to focus on the Q1 beat because it was so meaningful. I know you said that it was better than your internal expectations. Can you just go through what was the main driver? What surprised you most about the quarter internally? And also, you know, I get this question a lot just because the macroeconomic economic environment is very volatile. People are concerned about a recession. Do you think there is any type of, like, front loading of volumes if people are worried that they might lose their jobs? Thanks.
Sun Park: Hi, Ann. I'll take the first part and then hand off to Saumya. On the Q1 beat, listen, I mean, I think we covered a lot of the dynamics that we talked about. In terms of what we assumed in our guidance versus what we're showing up. I mean, obviously, we talked we mentioned before the strength in exchange patients growing 35% admissions. You know, we weren't quite sure how what that number would be. Q1. You know, we figured it would be relatively strong. But, again, compared to last year, you know, we expect it to go down. So we weren't quite sure how that would turn up, but we were bay very pleased to see pleased to see that. And, you know, I think that's reflective of not only the coverage and payer environment, but also of our our continued networking strategy of of being broad access to these exchange populations. So I think we're pleased to see that. Other than that, I do not know that we have anything else to point out that we haven't covered already. So I'll hand off that to Saumya on the other question.
Saumya Sutaria: Yeah. I do not I mean, I do not how you know, how can one tell honestly if if there's a you a surge in demand that's coming. I mean, we do not necessarily see in in our for example, our physician practice offices or other things significant changes. Sometimes you see changes at USPI and cancellation rates and other things. We haven't really seen much of a difference there. I do not I do not know I do not know that there's anything I could point to to affirmatively say that people are trying to utilize their coverage out of a fear of losing it. I do not you know, we probably have to think a little bit more about how to how to track some things that might give us a sense that that's happening.
Ann Hynes: Thanks.
Operator: Our next question comes from Benjamin Rossi with JPMorgan Chase. Please proceed with your question.
Benjamin Rossi: Great. Thanks for taking my question here. So I appreciate the unknown here, but regarding tariffs, we've been getting some commentary from your peers on framing exposure on finished goods supply spend, particularly outside of the US. Do you have any additional context on framing there and and maybe how much of your supply spend would be off contract or direct for manufacturers? And then beyond scope of supply, are there any differences in your procurement setup between ambulatory and hospital? Thanks.
Saumya Sutaria: Yeah. No. Thanks for the question. And I think just mean remember we are active members of of HealthTrust and that's true not just on the hospital business, but know, you can imagine at our scale where the anchor client on the ambulatory surgery side as well. And and well engaged with with the other peers and partners who also are in the ASC business. So there is no there is no separation between Tenet and USPI. And our engagement with and our engagement with HealthTrust. And now we do not have any commentary to add. I mean, the numbers that you have heard are in terms of the supply spend base, the location of where it's coming from, the pharmaceuticals points, all the same. No different.
Benjamin Rossi: Got it. Thanks for the color.
Operator: Our next question comes from A.J. Rice with UBS. Please proceed with your question.
A.J. Rice: Hi, everybody. Thanks. I understand that you do not want to sort of quantify things that are unknown that are being discussed in Washington. But as I think about and see commentary from nonprofit peers, we see some nonprofits saying they're putting in hiring freeze so they get clarity. Others are saying they're looking at their capital budgets. I wondered if you could comment, obviously, you got the public exchange, the supplemental payment, questions related to provider tax, even some discussion about site neutral payments. Are there contingency plans that you make at this point? Do you sort of just have to sit back and see what happens? Or how how do you guys think about getting in front of any of that or is it affecting in any way your business? And then I I will throw in there specifically AdvantageCare contracting. Do you approach that differently? Do they approach it differently? I know you typically do three year deals. Is there any thought that maybe we should take a little more narrow focus until there's some clarity? Any any thoughts along those lines be helpful.
Saumya Sutaria: Sure, A.J. Thanks for the question. So let's let's just I mean, I'll just say let's just step back. Right? Our coming into this year, regardless of the policy uncertainty, I think the best way to frame the answer to this question is have we changed our priorities or have we added to our priorities? And I would I would argue it's the latter. And our number one priority going into this year was to build off of what was a strong utilization environment in 2024, with us having significant outperformance of our expectations, and carrying that into 2025 both through our capital initiatives, our growth prospects, and acquisitions, at USPI, and the capacity expansion in the markets where we thought we still had beds that we could open up as we could accommodate that without excessive contract labor. So that still remained priority one. Okay? Priority two was the cost control. And in particular, it had to do with what I've talked about earlier, which is labor And and now I would say what we've added to that is a much tighter look and initiation of some actions on the supply side, to tighten up our utilization where it's possible to do so. In advance of any theoretical know, tariff business or whatever may may come to pass. And that's you know, that's kinda priority number two. Priority number three has been engaging as constructively as possible in the discussion in Washington, both through our various agencies that we work with, but more importantly, in my view, directly as myself and selected other leaders have been doing in order to shape the dialogue about you know, the the potential impact of cuts. I mean, I you know, I've said this publicly before and I'll do so a little bit more in in the coming weeks in in other forums, The polling is very clear about how the public all over the country feels about the importance of the exchange tax subsidy extensions and Medicaid. And it you you know, when I others are sharing it, I'll share it here in a couple weeks, is that what what we found in our work it's it's really important insight about how much support there is for these these programs and and for healthcare coverage for people. So that's been priority number three. So priority number four has been contingency planning. We haven't really moved that up the list yet. Of course, we're contingency planning. Look, we did a good job during COVID, which was a shock to the system. And we'll do it again if we need to. But we're not moving that up. To priority number one, two, or three right now because we still believe that our operating platform can receive and accept all patients that need care and do it in an accretive manner. And so the growth is still an important important way to go. If there is some shock that comes out of Washington, obviously, priority four may move up. In terms of our list, but it is not there right now. On your other question about managed care, you know, look, I think in in it's the contract renewal cycles come up in in various sequences They tend to be as you said, three year potential deals. I do not I do not see a whole lot of reason if you're negotiating fair contracts and partnerships with the plans to be looking at different time frames to create a bunch of uncertainty every year from that from that perspective.
A.J. Rice: Okay. Alright. Thanks a lot.
Operator: Our next question comes from Andrew Mok with Barclays. Please proceed with your question.
Andrew Mok: Hi. You delivered another quarter of double digit same store growth in total joints. I think you've done that almost every quarter since you started disclosing that a few years ago. Can you give us a sense for how that market has evolved over the last five years or so in terms of eligible population or penetration of seniors? And where do you think that those numbers can go? Thanks.
Saumya Sutaria: Yeah. Well, there's there's still a lot of HOPD work that goes on there that isn't really due to comorbidities or other sorts of things. Right? It's I mean, there are people that have active HOPD strategies, and then they're just physicians that are less comfortable in a non-hospital environment. And then you have, you know, of course, in some markets more than others, high quantities of employed orthopedic surgeons that aren't really allowed to, quote unquote, invest in ambulatory surgery into lower cost settings. Obviously, combining that with getting trainees in orthopedics more exposed to same day type of settings is an is an important piece of this, and, you know, obviously, the insurers creating incentives to do so is important. From that perspective as well. And, you know, part of that incentive is you've got to compensate adequately for that outpatient care because it's so much lower cost than a hospital setting. So I think when the when the issues move from all of these various things in the milieu to only the clinical care considerations which is who's appropriate for what setting, we'll know that the shift is complete. We're not there yet. Right? We're kinda halfway through that process and there's still runway to go.
Andrew Mok: Great. Thanks.
Operator: Our last question comes from Josh Raskin with Nephron Research. Please proceed with your question.
Josh Raskin: Hi. Thanks for fitting me in. I guess I want to take the margins from maybe a more optimistic view. So even excluding the $40 million retro payment, the hospital margins were, you know, called 17%. Do you think there's additional room for margin expansion there on the acute care side? I mean, you've seen almost a doubling over the last decade. And and maybe what sort of volumes would you need to get there? And what areas do you still think there's operating leverage?
Saumya Sutaria: Yeah. Josh, Thanks for the question. I mean, look, we we always operate with the mindset that there's margin expansion potential. The drivers of the margin expansion obviously, in the hospital segment as as a whole entity, are are multifold. Right? One is just we've instituted and Tenet and hardwired now significantly more operating discipline over the last few years than existed prior. That helps. Our controls around utilization and other things are much much more data driven. So while we started them top down, during COVID, based upon that data driven environment, just the operators have a chance to react much more quickly and nimbly Payer mix over the last few years has improved. You can't escape the fact that the exchanges have been a supportive environment. You know, we didn't know would happen with redetermination. It ended up being accretive to to revenue and and margins from that perspective. And, of course, we've had the benefit of portfolio transformation on the hospital business where you know, on average, slightly lower margin facilities were divested versus the remaining portfolio. And then the operating leverage in the future comes from better cost structure in labor, better standardization of the supply environment, And as as I've said all along for many years, you know, we have had a focus on asset utilization. Which continuing to build and grow the business to improve our asset utilization we'll continue to improve, hopefully, margins, all other things being equal. And so that's kinda what we focus on. And again, that gets back to also Josh just A.J.'s question around priorities. That's why our priorities right now are still in this environment to continue to build and grow the business rather than than of any kind of retreat yet.
Josh Raskin: That's perfect. Thanks.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.